Operator: Hello and welcome to the Erie Indemnity Company First Quarter 2008 Earnings Conference. At the request of Erie Indemnity, this conference is being recorded for instant replay purposes. At this time, all participants are in a listen-only mode. Following prepared remarks from Management, we will open the call for questions and answers. Now, I would like to turn the introduction -- now I'd like to introduce your host for today's conference call, Karen Kraus Phillips, Vice President and Manager of Corporate Communications and Investor Relations. Please go ahead.
Karen Kraus Phillips - Manager and Vice President of Corporate Communications and Investor Relation: Thank you, Mara, and good morning everyone. We appreciate all of you joining us today. On today's call, Management will discuss our first quarter 2008 results. Joining me are John Brinling, President and CEO; Executive Vice President and Chief Financial Officer, Phil Garcia; Jim Tanous, Executive Vice President, Secretary and General Counsel; Mike Zavasky, Executive Vice President, Insurance Operations;, and George Lucore, Executive Vice President, Field Operations. Today's prepared remarks will be approximately 30 minutes. Following those remarks, we will open the call for your questions. We issued our earnings release and additional supplements yesterday afternoon. If you need a copy of the press release or any of the exhibits, you can find these in the Investor Relations section on our website at erieinsurance.com. We also filed Form 10-Q with the SEC. On today's call, the Management of Erie Indemnity Company will share important information about current and future initiatives being undertaken at the company. As a result, certain forward-looking statements may be incorporated into their comments. These forward-looking statements reflect the company's current views about future events and are based on assumptions subject to known and unknown risks and uncertainties. These risks and uncertainties may cause results to differ materially from those anticipated as described in those statements. Many of the factors that will determine future events or achievements are beyond our ability to control or predict. For information on important factors that may cause such differences, please see the Safe Harbor statements in our latest 10-Q filing with the SEC dated April 30, 2008, and in the related press release and 8-K. In this call, we will discuss some non-GAAP measures. You can find the reconciliation of those measures to GAAP measures in the press release and in the supplement posted on our investor website at erieinsurance.com This call is being recorded, and the recording is the property of Erie Indemnity Company. It is not intended for reproduction or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. A replay will be available on our website today after 12:30 PM Eastern time. Your participation on this call will constitute consent to the recording, publication, webcast, broadcast and use of your name, voice and comments by Erie Indemnity. If you do not agree with these terms, please disconnect at this time. And now Erie's President and CEO, John Brinling. John?
John J. Brinling, Jr. - President and Chief Executive Officer: Hello, and thanks for joining us this morning. Today Phil and I will talk briefly about our first quarter 2008 results, and then we'll get to your questions. Before I start into our discussion of the first quarter, I want to thank those of you who attended our Annual Shareholders' Meeting held here at our home office on April 22. For your information, we posted Phil and my remarks with slides on the Investment section of our public website, erieinsurance.com. We also issued a press release following the meeting announcing the election of our 11 Board of Directors for 2008, and the reappointment of our executive management team. At its meeting following the Shareholders' Meeting, our Board approved an additional $100 million share repurchase program that will go into effect as soon as the remaining funds are expended in the current program. Phil will be talking about that during his review of our investment operation results. Now for our first quarter discussion; looking at our consolidated statement of operations, it's obvious that net income per share was affected by the performance of our investment operations. That's not surprising given the volatility we have seen in the financial markets. Phil will review in greater detail what's happening there. But in general, we recorded some impairment charges on bonds and preferred stocks. In addition, the market value change on our common stocks for the quarter was also reflected in our realized losses on investments. These effects combined resulted in net realized losses in investments of $25.6 billion [ph] pre-tax during the quarter. Our operating earnings per share, however, remained strong. While we're beginning to see a turnaround in personalized pricing, property casualty insurance industry is still being affected by soft market conditions, which has put pressure on direct written premiums of the reinsurance exchange. Despite the continued drop in average premium per policy, we were able to hold direct written premiums flat with our first quarter 2007 results. This was due to a year-over-year increase in policies in-force of 2.5%, with new business policies in-force increasing by 4.8%, and renewal business retention increasing to 90.4%. Two agency incentives acted as a stimulus for this result. The $50 bonus for new to Erie Private Passenger auto policies that began in July of 2006, and a new all-lines incentive trip that started in October 2007 and runs through September of this year. March 2008 production was impacted by a few factors, including the early Easter holiday and our annual dinner meeting contest launched in April 2008 several weeks later than last year, which did affect our policy sales for the quarter. So we saw an uptick in new business and retention during the first quarter, which resulted in a slight increase in management fee revenue. However, a modest increase in the expenses offset the increase in management fee revenue. We are projecting that increase in expenses will be about 9% for 2008, primarily driven by information technology expenses as we begin replacement of our policy administration system. We also generated underwriting profit of $4.1 million in the quarter, with low catastrophe losses. Generally, the first quarter of our -- best underwriting quarter due to the seasonality in our results. Phil will get into the details on all of this in a minute. Our agent recruitment strategy is key to our continued growth in policies. We expect to bring on 140 new agencies in 2008 throughout our geographic territory. During the first quarter, we appointed 46 new agencies, so we're on pace to meet our goal. We're looking at both scratch agencies and existing agencies that will make Erie the lead carrier in their business. We're also continuing our work to enter Minnesota in 2009. As part of this effort, during the first quarter, we started to make our presence known to agents in the State to assess preliminary interest. Early indications are that it's going well, and Erie will be a very welcomed addition in the State. Phil, I'll turn the call over to you to review our first quarter financials.
Philip A. Garcia - Executive Vice President and Chief Financial Officer: Thanks, John, and good morning everyone. For the first quarter 2008, net income decreased by 46.8% to $30 million from $56.4 million at March 31, 2007. On a per diluted share basis, net income decreased to $0.51 in the first quarter of 2008 compared to $0.88 last year. Our net operating income per share decreased by 9.7% to $0.78 in the first quarter of 2007 [ph] compared to $0.86 per share last year. As John mentioned, the earnings decrease in the first quarter was driven by our net realized losses on investments due to changes in fair value in our common stock since we adopted FAS-159. We also recorded some impairment charges in our bonds and preferred stock, and I'll talk about those issues in more detail when I review our investment operations results. First to the management operation; our management fee revenue was basically flat in the first quarter. We were able to offset the decrease in direct written premium from rate decreases by our property casualty group by increasing our policies in-force, and improving our policy retention rate. Our management fee rate, as you know, was 25% for the first quarters of both '08 and '07. We regularly evaluate our pricing and currently estimate that pricing actions are proved, filed, and considered for filing could reduce the direct written premium for the property casualty group by about $23.2 million during 2008. This is a slightly larger decrease than the $8.8 decrease we projected at year-end. The additional rate decreases are driven by mandated rate rollbacks in Maryland homeowners, and Workers' Comp Bureau loss cost changes in Pennsylvania's workers' comp business. Segmented pricing in both auto and home where we offer lower prices to better risks has also accelerated the decline in average premium per policy. However, as we indicated on the fourth quarter call, we do believe we'll see moderation in pricing declines with evidence of some of the larger national companies taking rate increases in private passenger, auto and homeowners. Given our accident year loss experience and the market conditions we are seeing at this time, we continue to project premium rate increases of about 2% or 3% overall for 2009. The trend toward increased policy growth continued in the first quarter of 2008; policies in-force and new written premiums continued to climb. Our policy retention rate also continues to improve. Our year-over-year policies in-force grew by over 94,000 policies, or 2.5% to over 3.9 million policies at March 31, 2008 compared to a growth of about 50,000 policies in the first quarter of '07. Our new business premiums increased 3.3% to $94.5 million in the first quarter of '08 compared to $91.5 million in the first quarter of '07. The year-over-year average premium per policy was $969 and $991 at March 31, '08 and '07 respectively, a decrease of 2.2%. The total cost to management operations increased by 0.7% during the first quarter of '08. Commissions to our independent agents make up the majority of these costs, as you know. Commissions decreased $1.1 million in the first quarter of '08, reflecting a decrease in the estimate for our agent bonuses. The decrease was offset by an increase in normal and accelerated rate commissions, driven by an increase in certain workers' compensation commission rates, and the higher accelerated commissions due to more newly-appointed agents. The costs of the $50 Private Passenger Auto bonus, which we began in the second quarter of '06, were $1.4 million in the first quarter of '08. The cost of management operations, excluding commission costs, increased 4% for the first quarter of '08. Personnel costs our second largest component in the cost of management operations, increased 9% or $3.1 million. This includes some expenses for our management incentive plans, which increased $1.8 million. The first quarter of '08 also includes $1.1 million for severance costs for an Executive Officer who resigned during the quarter. All other operating costs decreased 4.9%, primarily due to $1.4 million decrease in professional fee expense. Our estimate for growth in non-commission operating expenses for the year 2008 is around 9%. As John mentioned, much of the increase will be spent on information technology, as we begin our policy administration system replacement program in the second half of 2008. We believe the additional expense for this program in 2008 will be about $10 million. Now, we'll move on to the underwriting operations segment of the income statement. Our insurance underwriting operations continue to perform profitably in the first quarter of '08, generating an underwriting profit of $4.1 million compared to $5.6 million in the first quarter of '07. The property and casualty group's adjusted statutory combined ratio at March 31, '08 was 88.9% compared to 85.5% at March 31, '07. The GAAP combined ratio for the company was 92.1% in the first quarter of this year compared to 89.2% last year. We continue to recognize favorable development of prior accident year loss reserves, which reflect the same trends we were seeing at year-end, improving the loss ratio 5.3 points, or $2.7 million in the first quarter 2008 compared to 10.3 points in the first quarter of '07. The Indemnity Company share of catastrophe losses totaled $0.8 million and $0.3 million in the first quarters of 2008 and '07. Our catastrophe losses contributed 1.6 points and 0.5 points to the GAAP combined ratio in the first quarter of '08 and '07. As we have reminded you previously, the first quarter is generally our best in terms of underwriting results, as underwriting losses are seasonally higher in the second and fourth quarters, so our combined ratio generally increases as the year progresses. In the first quarter of '08, our share of the reduction to reserves related to seasonality adjustments was $3.5 million compared to $3.3 million in the first quarter of '07. Finally, I'd like to review our investment operations. The company's Investment Operations recorded a loss of $5.2 million during the first quarter '08 compared to a gain of $29.8 million for the same period in '07. As I mentioned during the fourth quarter call, beginning in 2008, we adopted an accounting change that affects how we account for certain assets in our investment portfolio, and as you can see from our 10-Q, we adopted the fair value option for our common stock portfolio only under FAS-159 effective January 1, 2008. This portfolio was previously accounted for as an available for sale portfolio where changes in the fair value of those assets were reflected in shareholders equity. In the first quarter of '08, our realized losses on investments from changes in the fair value of the common stock were $13.7 million. At the same time, we also recorded impairment charges of $11.9 million pre-tax on our bonds and preferred stock investment. The write-downs were due to continued declines in fair value and credit deterioration on securities in the financial service industry sector; the majority of the impairments relate to securities that are performing in line with anticipated or contractual cash flow. Our private equity and mezzanine debt limited partnerships generated earnings of $5.4 million and $6 million for the quarters ended March 31, '08 and '07. Our real estate limited partnerships generated earnings of $2.6 million and $6.5 million in the first quarters of 2008 and '07. Our earnings from limited partnerships were still strong in '08, but reduced from our very strong earnings from partnerships in '07, reflecting more challenging conditions in the markets in which we have invested. Also during the first quarter of '08, we were a very active repurchaser of our stock. We repurchased 1,204,651 shares of our outstanding Class-A common stock for a total cost of $60.9 million, or $50.54 per share. As John indicated, our Board of Directors approved an additional $100 million stock repurchase, which becomes effective immediately after the available funds from the current repurchase program are expended. At April 15, 2008, we had $14 million remaining under the current plan, which was scheduled to conclude December 31, 2008. Under the newly-approved program the Company may repurchase up to 100 million of it outstanding Class-A common stock through June 30, 2009. The Company may repurchase those shares from time-to-time in the open market or by privately-negotiated transactions, depending on prevailing market conditions and, of course, the alternative uses of the Company's capital. Thanks for your attention this morning. I'll now open up the call for questions. Question and Answer
Operator: [Operator Instructions]. We take our first question from Michael Phillips with Stifel Nicolaus.
Michael Phillips - Stifel Nicolaus: Thanks, good morning everybody.
Karen Kraus Phillips - Manager and Vice President of Corporate Communications and Investor Relation: Good morning Michael
John J. Brinling, Jr. - President and Chief Executive Officer: Good morning Michael
Michael Phillips - Stifel Nicolaus: Couple of questions; first probably a couple part question on the new policy administration system and impact on non-commission expenses, a couple parts around that. One just what are the benefits of the new system; help me understand what that's going to bring you, and then kind of the second part of that is how you think about the increasing expenses there in light of what that might to do the margins here in 2008.
John J. Brinling, Jr. - President and Chief Executive Officer: Michael, this is John Brinling, and thanks for your question. There's a number of things that we would like to progress to, and principal among them is a real-time system. The system that we have right now is a batch system, meaning that the processing is really done overnight in a batch. So that causes some problems in terms of doing multiple changes that are done in sequence, they need to be done overnight, and so it spreads it out over a couple of day, where more modern technology would give us real time, so we could do those sequentially in no time at all. There's also other benefits that we'd realize, particularly in terms of interface with our agents being able to download to their systems and so forth. So there's a number of functional things that we would benefit from, and quite frankly, some improved processes that would allow us to operate much more efficiently with less man, person power here at the home office. So we could gain some financial advantages by reducing personnel here in the processing area and be able to service our policyholders and agents more efficiently.
Philip A. Garcia - Executive Vice President and Chief Financial Officer: This is Phil, Michael. Particularly in commercial lines where we have a lot more employees involved in processing policies, so part of that is going to be replacing our commercial system, which is pretty antiquated and involves a lot of human interaction to get a policy processed. So, we'll have a lot greater productivity in the commercial side of the house. We gave you the guidance that we gave you because obviously, this is going to affect our margins. Without that $10 million investment, non-commission operating expenses would have grown in the 5% to 6% range. So we wanted to give you that guidance so you could factor it in going forward. But obviously, it's going to affect our margins. We've got to manage the installation of the system so that we get the productivity gains we want to have.
John J. Brinling, Jr. - President and Chief Executive Officer: And Michael, I wanted to add one more thing. I didn't want to signal any layoffs or anything like that. We've been able to handle these kinds of improvements through attrition and retraining of our people. So we've been able to do this kind of improvement in the past without having to resort to that.
Michael Phillips - Stifel Nicolaus: Okay, yes. Great, thanks. I appreciate that. That's helpful. Second question is to your commission expenses, and you mentioned before some slight increase to comp expenses, workers' comp expenses or at least commission expenses back in late '07 I think. Anything you're thinking of in terms of '08 for other lines or other segments with changes just in scheduled rate commissions?
John J. Brinling, Jr. - President and Chief Executive Officer: Well, we're always looking at ways to incent production, profitable production. But we don't have anything that we're ready to announce at this point, Michael.
Michael Phillips - Stifel Nicolaus: Okay. You did mention agent bonuses down a bit this quarter. I know they're based on a three-year profitability. I assume 2008 means 2008 minus two years; is that correct first of all?
John J. Brinling, Jr. - President and Chief Executive Officer: Yes. They're on a three-year rolling and we're this year looking at the three best years in our history I believe. So, our projections are that our loss experience will deteriorate some, which will bring the most recent year down. There's also a change in the way we handle our life bonuses, and those were paid through the Indemnity Company in the past and reimbursed by the Life Company, and we've changed that. So that's affecting the change as well.
Michael Phillips - Stifel Nicolaus: That's fine. I just wanted to confirm based on probably a slight deterioration of margin in 2008, which I think is everybody's expectation, but that's kind of what I was thinking there and that's what you're confirming there.
Philip A. Garcia - Executive Vice President and Chief Financial Officer: Correct. '05 will drop off, we'll have '08 added.
Michael Phillips - Stifel Nicolaus: Sorry. Okay.
Philip A. Garcia - Executive Vice President and Chief Financial Officer: So we're predicting, as John said, some slight deterioration in our underwriting results, and so the bonus comes down a little bit.
Michael Phillips - Stifel Nicolaus: Okay, perfect. And then the last question; you mentioned in your comments and in the Q you talked about expected rate reductions to continue to be solid in 2008. And so you gave some reasons for that in your comments. Can you talk about kind of just the magnitude of how that's going to continue in '08 versus what we saw in 2007 as far as rate reductions, given also I guess in light of what John's earlier comments the kind of the market is starting to turn a bit?
Philip A. Garcia - Executive Vice President and Chief Financial Officer: Right. Well, the changes that we announced were pretty modest. At yearend, we said that we thought our rate changes for '08 would be a minus $8 million, which is really nothing on a $4 billion premium base. We've extended that to $23 million. So, a $15 million delta there. It's due to some rate decreases that were mandated in Maryland Home that we had to take, and some minor work comp changes we had to take in Pennsylvania because of the Bureau. It was the loss comp adjustment for the Work Comp Bureau in Pennsylvania. So it's still only $23 million out of $4 billion. So, it's a modest decline. And you saw in our forward-looking comments around 2009 that we're thinking about a 2% to 3% increase, average rate increase in 2009.
Michael Phillips - Stifel Nicolaus: Okay. Perfect, thanks a lot. I'll pop back off, and I might hop back on in a second. Thank you.
Operator: We'll move next to Dan Schlemmer with Fox-Pitt Kelton.
Dan Schlemmer - Fox-Pitt Kelton: Hi, good morning. Congratulations on a nice quarter. Following up sort of on the last question in the rates, can you give us a little more breakdown of… by line, and if there's any upward pricing or if it's all downward, just spread across all lines, et cetera? In particular, if you can maybe give us a little background on whether your rate actions are mostly you think mirroring the market or if it's a response to market or what, how it fits in across the general market conditions, that would be great. Thank you.
John J. Brinling, Jr. - President and Chief Executive Officer: Well, Phil just outlined the immediate more long-term, because as you know, the rate actions we take now really don't kick in until '09 and beyond. We're looking overall at a rather modest increase in the neighborhood of 3% looking into '09 and '10. That's pretty much just keeping up with inflation. So, I would say that we're somewhat reflecting the market. We're certainly not leading it in terms of rate increases, but we do see… particularly after three years of significant rate decrease, we see that leveling off.
Dan Schlemmer - Fox-Pitt Kelton: Can you talk about which areas are seeing the most change, or I mean just sort of break it down a little bit, what proportion of that is auto and home versus comp, et cetera on the rate action?
John J. Brinling, Jr. - President and Chief Executive Officer: I don't have that detail at my fingertips, but it's pretty well spread out. We are trying to take it, particularly where the competition will allow us to, both in terms of lines and territories. So, we're not doing it en masse, but we're doing it specifically by line and by territory. And honestly, we're working on it right now Dan. In fact, I can tell you we're working on it right now.
Dan Schlemmer - Fox-Pitt Kelton: Sort of on a separate note, but related your policy retention numbers have somewhat favorable trend. Just curious what you attribute the underlying causes, whether it's rate or agent incentives or the overall market, etc., just any background you can give on your view of the changes in those policy retention and the underlying causes.
John J. Brinling, Jr. - President and Chief Executive Officer: Well, I'd like to think that principal among it is our service. We focus on giving above all in service to our policyholders have gotten a lot of positive comments in a recent Newsweek and on JD Power. So I'd like first of all to think that our policyholders are satisfied with the claim and non-claim service that they're receiving. But I think second of all, Dan, there's less shopping going on. Customers are not being shocked by rate increases, so they're not spending as much time shopping the market for price, and with the anticipation of switching. So I think it's a combination of our rate reductions and the fact that they're satisfied with our service, and just overall in the marketplace softening and less shopping going on.
Dan Schlemmer - Fox-Pitt Kelton: Yes. Great, thank you. Last question, talking about the change in the accounting you adopted for the equities, it looks like I think 10% of your investments are in equities ballpark. But is that… seems to me looking forward, am I right in thinking through that that you're going to see an increase in the variability of your earnings stream, even though you don't have any change in the actual underlying fundamentals. Is that accurate or am I thinking through that correctly?
John J. Brinling, Jr. - President and Chief Executive Officer: Right. You're going to see more volatility in the net income number. Obviously, we also report our operating income number where we back that out, and I know you guys follow that more than our income number.
Dan Schlemmer - Fox-Pitt Kelton: Yes.
John J. Brinling, Jr. - President and Chief Executive Officer: But they have a net income number that's going to bounce around because now our $100 million common stock portfolio every quarter is going to be mark-to-market through realized capital gains and losses. So you're thinking about it exactly right Dan.
Dan Schlemmer - Fox-Pitt Kelton: Okay, great. Thank you.
Operator: Thank you, Dan. [Operator Instructions]. We move now to Ron Bobman with Capital Returns.
Ron Bobman - Capital Returns: Hi, thanks a lot. Congrats on the nice results.
John J. Brinling, Jr. - President and Chief Executive Officer: Thank you Ron.
Karen Kraus Phillips - Manager and Vice President of Corporate Communications and Investor Relation: Thanks, Ron. Hi.
Philip A. Garcia - Executive Vice President and Chief Financial Officer: Good morning, Ron.
Ron Bobman - Capital Returns: Hi. I had a couple of questions and I missed something that Phil said in the prepared remarks. But it may have been explained in the Q&A earlier. So you were talking about drivers of, I think, premium growth going forward, and I missed part of your sentence where you talked about workers' comp. And I'm sorry, I didn't know whether that was sort of whatever was going on with workers' comp was a plus or a minus. Was that just the Pennsylvania sort of loss cost fact in there?
Philip A. Garcia - Executive Vice President and Chief Financial Officer: Yes. What I was referring to when I referred to workers' comp was the price increases we took in Pennsylvania Workers' Comp in conjunction with the Bureau lost cost reductions.
Ron Bobman - Capital Returns: Okay.
Philip A. Garcia - Executive Vice President and Chief Financial Officer: And it's factored into the $3 million 2008 premium reductions that we are forecasting.
Ron Bobman - Capital Returns: Got you. So I guess the increasing to 23, that delta is partly attributable to that.
Philip A. Garcia - Executive Vice President and Chief Financial Officer: Yes.
Ron Bobman - Capital Returns: Okay, and my next question, I think John mentioned the new business, discussing again sort of the premiums and the drivers being retention improving, rates going down a bit, and then a pickup in new… or at least new business being up 4 some odd percent. And I was wondering if, what the mix of new business look like? Is it largely sort of the same distribution of business, auto, home, and commercial in their relatives that the in-force book has been, or is there any sort of marginal shift towards one category segment account side?
John J. Brinling, Jr. - President and Chief Executive Officer: Ron, there hasn't been any significant shift in our mix. So it's spread over our personal lines, auto and home protector and commercial.
Philip A. Garcia - Executive Vice President and Chief Financial Officer: We also show you Ron, this is Phil, in the press release and the Q, you can see how our policies in-force are growing. So that really is the basic mix. And you can see that auto is growing a little bit more slowly than the other lines. I think our 12-month year-over-year auto growth is about 1.2, which is a little slower. Obviously; we were growing 2.5. So the auto growth has been a little slower. And that's something we want to turn around.
Ron Bobman - Capital Returns: Got you. And then I think John you mentioned there were two incentive programs agent-focused, I assume it was this past quarter, the $50 bonus, and then there was… maybe these were new ones, that trip.
John J. Brinling, Jr. - President and Chief Executive Officer: Well, one of them we've had since the summer of 2006 and that's a $50 per application for auto that's new to us, and that's been ongoing now going on close to two years. The second was a travel incentive that we announced in October of '07. We're taking the successful agents to St. Kitts in March I believe it is of '09 and the incentive ends the end of September this year.
Ron Bobman - Capital Returns: Got you. And then is it… I was curious. What I'm trying to understand is whether the incentives are product-focused. You mentioned the $50 was in new auto. Is the trip product-focused or is the contest, the winning agent like you said --?
John J. Brinling, Jr. - President and Chief Executive Officer: You're right, Dan. The $50 is auto focused, but the incentive trip has a point system for nearly all of our products… not all of our products, but nearly all of our products. And it's spread over personal lines, commercial lines, and life so that an agent can focus into one area and make the trip or do a mix of business and through combination of points make the trip.
Ron Bobman - Capital Returns: Does the CFO who is figuratively cutting the check for that trip get to go as well?
John J. Brinling, Jr. - President and Chief Executive Officer: We would normally not take the CFO.
Philip A. Garcia - Executive Vice President and Chief Financial Officer: Are you putting in a plug for me going to St. Kitt's? I would appreciate that Ron.
Ron Bobman - Capital Returns: My last serious question, and it is sore subject, but I want to ask nonetheless because you mentioned the system spend. And in the past, system expenditures in some form have been a little bit of a black hole for the company. And so I'm wondering if managing this process, if there are sort of differences in management of the process or of the people that ensure sort of a better spend of this money.
John J. Brinling, Jr. - President and Chief Executive Officer: Well, we're infinitely familiar with the results of our prior attempts, and certainly don't want to repeat history. It was an expensive learning experience, but we would like to think that we've learned some lessons from it. We are spending much more resource in the evaluation process. In fact, we're still in that evaluation process trying to make a very deliberate decision, and put in place the appropriate governance, so that this can be a more successful attempt.
Ron Bobman - Capital Returns: Okay, thanks. And best of luck there.
John J. Brinling, Jr. - President and Chief Executive Officer: Thank you.
Karen Kraus Phillips - Manager and Vice President of Corporate Communications and Investor Relation: Thank you, Ron.
Operator: There are no more questions in the queue at this time. I'd like to turn the conference over to you Mr. Brinling for any additional or closing remarks.
John J. Brinling, Jr. - President and Chief Executive Officer: Well, I'd like to thank you for your questions and for joining us on the call today. Next week begins our month long series of spring annual dinner meetings, starting with Charlotte and Raleigh, North Carolina. I anticipate that the meetings will be my last annual dinner meetings with the company and that the new CEO will be attending the meetings in the fall. For those of you listening that aren't familiar with these events, each year we conduct nine contest and dinner meetings in the spring and nine in the fall, hitting each one of our branches. It creates a great opportunity for executive and senior leadership of Erie to meet and to celebrate with the agents and the employees throughout the company. And though, it obviously involves a lot of travel, I'm truly looking forward to this year's events. That concludes our call today. Again, I want to thank you for your continued interest in Erie Indemnity Company and for joining us to hear about our first quarter results. Have a great day.
Karen Kraus Phillips - Manager and Vice President of Corporate Communications and Investor Relation: Just a reminder that the recording of the call will be posed on our website, erieinsurance.com after 12:30 PM Eastern Time today. If you have any questions at all, as always please give me a call at 814-870-4665. Thanks again and make it a great day.
Operator: And that does conclude today's conference. Once again, we thank you for your participation